Operator: Good afternoon. My name is Sheryl and I will be your conference operator today. At this time, I would like to welcome everyone to the 8x8 Inc. Fiscal Q3, 2019 Earnings Conference Call. All lines will be placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Victoria Hyde-Dunn, Investor Relations, you may begin your conference.
Victoria Hyde-Dunn: Thank you, operator. Good afternoon and welcome to 8x8's third fiscal quarter 2019 earnings conference call. Joining me today are Vik Verma, Chief Executive Officer; and Steven Gatoff, Chief Financial Officer. During today's call, Vik will begin with business highlights of our third quarter performance. Following this, Steven will provide details on our financial results and guidance for our fiscal Q4 and full year 2019. After these prepared remarks, we look forward to taking your questions. Before we get started, just a reminder that during this conference call any forward-looking statements are made pursuant to the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These statements are not guarantees of future performance and our actual results could materially differ as a result of a variety of factors. Additional information concerning those risk factors is available in our most recent reports on Forms 10-K and 10-Q, which you will find on the SEC's website and the Investor Relations section of our website. As a reminder, we adopted the new revenue recognition standard ASC 606 in April 2018. For certain income statement items, we have provided the third fiscal quarter 2019 results as they would have been under the old standard ASC 605. Reconciliation of ASC 606 and 605 results are included with our earnings press release. In addition, some financial measures that could be discussed on this call together with year-over-year comparisons and in some cases were not prepared in accordance with U.S. Generally Accepted Accounting Principle or GAAP. A reconciliation of non-GAAP measures to the closest comparable GAAP measures is provided with our earnings press release and PowerPoint presentation deck, which are available on our Investor Relations website. With that, let me turn the call over to Vik.
Vik Verma: Thank you, Victoria. Good afternoon and thank you to everyone for joining us. I would like to share four points about the quarter that highlights our business performance and the large opportunity ahead of us. First, we exceeded the high-end of our financial outlook in our third quarter, and saw another sequential increase in our year-over-year service revenue growth rate, as has been case in every quarter this fiscal year. Second, our X Series cloud platform, which integrates voice, video conferencing, contact center and collaboration into a single technology platform is strongly positioned to address the current market as customers are increasing adopting robust integrated cloud solutions. These customers are seeking one technology platform, which offers unique product, data and analytic capabilities. Third, our new bookings performance in the U.S. midmarket and enterprise came in weaker than we expected. Our enterprise business continues to be a solid but lumpy business with a few large deals pushing out of the quarter. Our U.S. midmarket business however had specific execution issues, and as a result I am making specific organizational and process changes. These changes are already showing a positive impact. Finally, we expect sequential year-over-year service revenue growth rate increases of approximately 50 to 70 basis points per quarter to continue for the foreseeable future. This means we are anticipating reaching approximately 25 service revenue growth excluding DXI revenue and in constant currency with about a two quarter delay from our original expectation. Let me touch on each of these points in a bit more detail. First, our third quarter revenue results illustrate the fundamental strength in our business as we exceeded the high-end of our financial outlook. Service revenue for the third quarter was $85.9 million and grew 20% year-over-year. Adjusting for constant currency and excluding DXI revenue, service revenue growth was 22% compared to 21% in the second quarter showing that we continue to accelerate growth. Customers continue to see the value of our single technology platform for cloud business communications and contact center solutions. Our sales team closed 25 new mid-market and enterprise deals, with monthly recurring revenue of $10,000 or greater during the quarter, an increase of 14% year-over-year. 6 of our top 10 deals included contact center and 5 of our top 10 deals were outside the United States. We booked approximately 50% of new monthly recurring revenue from new customer logos. Also 8 of our top 10 deals were assisted by channel partners and our channel enablement program has grown to include 10 strategic masters and over 400 partners, up from 250 partners last quarter. To provide greater insight into our enterprise customer adoption, let me highlight a couple of examples. One marquee enterprise customer win is an international vacation rental management company managing properties in 20 U.S. states and 15 countries. Their homegrown voice solution had limited functionality and customer experience challenges with answer rate connecting to employees in remote locations using their cell phone and lack of data tracking for call transfers. 8x8 won this deal after a very competitive RFP process that involved multiple cloud providers. They ultimately chose X Series packages X2 and X8 to take advantage of our single platform solution and 8x8's proven expertise that allows them to focus on their business rather than developing and supporting voice and contact center technology. Another notable customer win is a U.S. based Southwest service administrators, a third-party provider of administration services for health care and employee benefit plans. This customer has outgrown their legacy on premise system and needed a solution that combine unified communications with true contact center capabilities. The overarching requirements that drove their buying decision were twofold. First, a single UCaaS and CCaaS cloud technology platform and second, robust HIPAA compliance. This was a competitive take away from an incumbent hybrid provider and the customer selected a mix of X Series solutions across the user base to best fulfill their overall needs. My second point is that our X Series cloud platform, which includes voice, video conferencing, contract center and collaboration is strongly positioned as this $50 billion market takes off. We continue to see validation from customers and even from our competitors that a full suite solution based on a single cloud technology platform is what the market wants. Over the past four years we have invested in both research and development and acquisitions that positions us as the only pure cloud provider that owns the full technology platform required to deliver voice, video conferencing, collaboration, contact center and one system of intelligence in the marketplace today. The X Series is becoming the leading solution for our new 8x8 customers and we're seeing 25% to 30% of new seats being sold with higher value contact center and collaboration capabilities. We have rolled out X Series to all business segments in the U.S. and UK to help small mid-market and enterprise businesses connect with customers faster and smarter. Approximately 15% of our installed base is now on the X Series platform, up from 10% last quarter. Upcoming announcements, which demonstrate our continued commitment to extend the capabilities of our X Series include enhance speech analytics that provide voice of the customer insights enabling companies to optimize customer experience through data driven decisions, something that cannot be done with stitch together solutions. In addition, recent award recognition from TechTarget and Frost & Sullivan highlight a competitive strategy, innovation and leadership in UCaaS. As we discussed on our last call last quarter we acquired Jitsi, an open source video collaboration technology and team of video technology experts from Atlassian. We are in the process of integrating the full Jitsi stack into 8x8's X Series offering. The new desktop and mobile clients will be piloted this quarter with general availability in mid-year. Once integrated, the Jitsi based 8x8 meeting solution will be run on public cloud infrastructure, while leveraging our global audio expertise and with a feature set that is competitive with leading team meeting solutions on the market today. The third point around our fiscal Q3 is that, while we are encouraged by our progress across many fronts, our third quarter U.S. mid-market new bookings performance fell short of internal expectations. New monthly recurring revenue book from mid-market and enterprise customers increased 13% year-over-year and comprise approximately 66% of total bookings in the quarter. Total channel bookings grew 23% year-over-year. While we are still averaging close to 30% growth in new mid-market and enterprise bookings over the first three quarters of the year. I am not happy with our go-to-market execution in this quarter relative to the opportunities that we had available. We believe this to be a direct side effect of two major transitions we have been managing. The introduction of X Series to the mid-market and a rapidly expanding channel team. With regard to X Series, as previously mentioned, we have received strong positive response from enterprise customers and industry analysts that our new solutions are delivering immediate value and meeting the need for mix and match capabilities based on a single cloud technology platform. Where we did not execute however was in enabling our mid-market sales force to sell X Series at high velocity with well-defined value paths to drive short sales cycles. We have taken immediate steps to improve both our enablement and sales processes specific to high velocity sales and are already starting to see the results in this quarter in accelerated deal execution. With regard to the channel execution issues, over the course of late Q2 and early Q3, we brought in a large number of very talented experienced channel professionals. Unfortunately, we did not focus enough in adequately enabling this new team and integrating them tightly with our existing field sales team. Again, we have taken immediate steps to improve both process and execution and are seeing early signs of success. While the unfortunate combination of these two execution issues translated into a U.S. mid-market booking shortfall. The positive news is that these are discrete tactical issues that we have identified and are addressing. More importantly, market demand remains strong, our win rate remains high and we continue to deliver solutions that differentiate us from peers. We have plenty of room to grow in our $50 billion addressable market. We remain confident as ever in our long-term growth opportunities as we believe delivering a single cloud SaaS technology platform remains a winning strategy. To my final point, in regards to the underlying strength of the business, we expect sequential year-over-year service revenue growth rate increases of approximately 50 to 75 basis points per quarter to continue for the foreseeable future. Over the first three fiscal quarters of this year, we have increased our year-over-year service revenue growth, excluding DXI and adjusting for constant currency from 20% in fiscal Q4 2018 to 22% this quarter. We expect to exit the fourth quarter with a service revenue growth rate of approximately 22% to 23% excluding DXI revenue and in constant currency. And we expect to now reach the milestone of approximately 25% service revenue growth rate about two quarters later than originally anticipated. Before I turn the call over to Stephen, I would like to thank our employees, customers and channel partners. I have tremendous conviction in the value of our technology platform and the market opportunity in front of us. It is up to us to execute and I'm confident and committed to doing that. Over to you, Steven.
Steven Gatoff: Thanks, Vik. Good afternoon, everyone. We appreciate you joining us. We're glad to provide some details and color around the business that drove our Q3 financial results and walk you through our guidance for Q4 and the full fiscal year 2019. We'll of course wrap up by opening the call to your questions. With this being my inaugural earnings call here at 8x8 I wanted to frame out this part of the discussion into three financial areas of note. One, my personal bullishness on the large and largely unmet cloud disruption opportunity that 8x8 is uniquely monetizing. Two, our SaaS model that's driving solid increases and sequential quarterly year-over-year revenue growth. And three, the compelling operational and financial path in front of us to drive continued improving revenue growth and increasing stockholder value. First off, I'm thrilled to have join Vik and the team here after 90 days or so on the job I can say that I'm more bullish on the opportunity that's sitting in front of us at 8x8 than I was when I first started. 8x8 owns a single integrated and global technology platform that uniquely position us to disrupt a $50 billion TAM. One is less than 10% penetrated by cloud offerings. As we move forward and capitalize on this, I'm excited about contributing a focus around driving a SaaS orientation and execution in terms of both our revenue scale and how we run the business to achieving increasing leverage and returns. From evolutions in our customer contracts and customer onboarding to managing our leading indicators around pipeline lead gen and funnel conversion, we're driving greater operating and organizational efficiencies in our execution to make sure we're well positioned to capture the large market opportunity. In bridging these strong market drivers and the 8x8 model to our P&L, let's look at our Q3 performance where we delivered a solid quarter of service revenue and strong continued gross margins. Before we get into the details though, let me briefly comment on the bookings dynamics that we observed in the third quarter. As Vik talked about our bookings growth from the U.S. mid-market came in lower than we expected due to specific execution issues in our new channel organization and go-to-market motions. I'm encouraged that we've already begun to correct these shortcomings with concrete actions and we're focused on what you'd expect us to be. We're looking at such operating metrics as our return on lead gen spend, weekly pipeline creation, web productivity and channel partner new logo registrations and closings. It's the numbers and leading indicators that told us there was an issue and it's these metrics are numbers that we're furiously focused on and driving improvement around. Let's turn to the fiscal Q3 P&L results. Our ability to deliver service revenue ahead of our guidance for Q3 demonstrated the strength of our SaaS model where we built the solid base of recurring subscription revenue. You see this in service revenue coming in at $85.9 million above the high end of our financial outlook and at the higher growth rate of 22% year-over-year adjusting for constant currency and excluding DXI. Looking at the important contribution to growth from larger deals, service revenue for our mid-market and enterprise customers billing greater than $1,000 in monthly recurring revenue grew 30% in Q3, and represented 62% of monthly recurring revenue also on a consistent basis of adjusting for constant currency and excluding DXI. Service revenue from mid-market enterprise customer billing greater than $10,000 in monthly recurring revenue increased more than 61% year-over-year and represented 29% of monthly recurring revenue. On both fronts, strong continued revenue growth and contributions from a key business driver. On a global basis, our investments in international expansion are continuing to drive incremental growth, as we increase international revenue by 20% year-over-year, primarily from the United Kingdom. Looking at some additional business metrics that continue to contribute to growing revenue and favorable economics, overall, average monthly service revenue per business customer was $506, growing 11% year-over-year. The average monthly service revenue per mid-market and enterprise customer grew more than 9% to $5,211. In Q3, we had a balance mix of both new customer logos and upsells and cross sells within our existing customer base of roughly 50% each. Customer churn continues to be relatively modest on both the dollar and customer account basis, with annual dollar retention rates, which include up sells well over 100% across all business segments. This reflects our continued customer satisfaction and the impact of our strong deployment and customer support teams. One of the key attributions of our SaaS financial model is our strong and consistent gross margins. The lion share of our revenue has seen consistent non-GAAP service margins the past seven quarters of 83% to 84%. Importantly, as we continue to invest in lead gen, go-to-market and channel, we're also taking a disciplined approach to managing our spend. With that perspective, looking at our Q3 non-GAAP operating expenses, let's start with sales and marketing. Sequentially, we had a similar amount of spend in Q3 with sales and marketing expense at 61% of revenue. From a high level perspective, we continue to invest in driving growth through more effective top of funnel lead gens, channel execution and conversion rates where we're looking to drive continued increases in new logo pipeline and additions higher sales rep productivity and continued customer penetration. For the current Q4, we anticipate a marginally lower year-over-year increase in non-GAAP sales and marketing expenses of about 19%. Turning to R&D, our investment strategy has been central to building our single tech platform leadership and competitive advantage and we're seeing this in our win rates. R&D expense was approximately 15% of revenue in Q3 as we continued our investment in product innovation, Talent and X platform features and functionality. Finishing out OpEx, non-GAAP G&A costs in Q3 were 9% of revenue, up marginally 4% year-over-year and consistent with the past four quarters as we continue to appropriately manage expenses as we scale the business. As a reminder on a GAAP basis G&A includes a charge of $1.5 million in Q3 related to U.S. sales tax obligations on our customers' behalf. For the current Q4, we would expect a similar GAAP sales tax charge. Pulling this all together, Q3 non-GAAP pre-tax net loss was $4.2 million, excluding Jitsi related operating expenses of approximately $1.2 million and better than our October outlook for Q3 of a $5 million to $6 million loss. With that, let's turn to our third point on the 8x8 model and financial results coming out of Q3, which is a compelling operational and financial path in front of us that we expect to drive continued revenue growth and increasing stockholder value. We're committed to continuing to drive growth. As Vik noted we're adding between 50 and 75 basis points of sequential improvement in year-on-year revenue growth every quarter and we expect that to continue going forward. We also continue to see 25% adjusted service revenue growth as an achievable milestone on our growth path, albeit we're admittedly about two quarters behind where we thought we'd be. And so considering all this our financial outlook for Q4 fiscal 2019 is as follows. We anticipate service revenue to be in the range of $88.6 million to $89.6 million. This equates to a year-over-year growth of between 18% and 19%. Excluding DXI and constant currency we expect service revenue growth to be in the range of 22% to 23% and we anticipate non-GAAP pre-tax loss for Q4 to be in the range of $7 million to $8 million, excluding approximately $600,000 related to Jitsi operations. As you would expect, full year fiscal 2019 outlook is simply the math of our first three quarters actual results plus our Q4 outlook and implies outlook for the full year of fiscal 2019 as follows. We anticipate service revenue to be in the range of $334 million to $335 million, representing 19% to 20% year-over-year growth. Excluding DXI revenue and again constant currency basis, we expect service revenue growth for the full fiscal year to be approximately 22%. We anticipate total revenue for fiscal 2019 to be in the range of $351 million to $352 million, representing 18% to 19% year-over-year growth. And finally, we anticipate non-GAAP pre-tax loss for the full year 2019 to be approximately $19 million not including approximately $2 million in expenses related to Jitsi. As it relates to our fiscal 2020, which begins April 1, 2019, we're working on refining all of that now in our fourth quarter and we look forward to sharing that with you consistent with our historical practice on the Q4 earnings call in the mid-May 2019 timeframe. We expect at that time to also introduce some new business, SaaS and operating metrics which we plan to discuss more on our next earnings call. In closing, we're confident that we are addressing our go to market execution issues quickly and effectively. We're oriented around driving the business and managing our spend responsibly and we continue to have confidence in monetizing the opportunity in front of us and our path of continued sequential quarterly revenue growth going forward. With that, we appreciate your time and support, and we're glad to open the call for any questions. Operator?
Operator: [Operator Instructions] The first question comes from the line of Will Power of Baird. Please go ahead. Your line is open.
William Power: Great. Thanks for taking the question. I guess a couple. I guess, Vik maybe just coming back to the change in outlook with the 25% services revenue growth. I think a lot of confidence over the course of the quarter at conferences investor meetings and the like that you'd achieved that based on the trends that you were seeing through the quarters. So I guess I'm just - I think investors are trying to understand when that trajectory changed and the key drivers of that. I know you talked about the mid-market X Series and channel, maybe just to go into a little bit of more color on the bookings growth and the channel impact to that. And really how do investors get confidence that you have those pieces now in place to accelerate still that 25% two quarters later.
Vik Verma: Yes, look that is the most important question. Yes, a knowing impact. So that's the most, I guess, politically correct way to say it. About late November early December we would start and still feel pretty good. And it came down to something as simple as we had introduced X Series into enterprise and it was very well received. And then, as we started to introduce it into the channel as well as into mid-market, we found out we did a less than stellar job of basically enabling the tune with all the tools, the questions, the collateral material, et cetera. And I think we just frankly underestimated the time it takes to basically bring an entire sales team up to speed on how to sell a much faster much more packaged solution. So that was one. And then on top of that, I brought on board quite a few amazing folks in the channel. And then as we grafted them on to the team, what became pretty obvious is that we brought in a brand new channel team combining with a direct selling mid-market team as well as the channel partners and a brand new product introduction. And that too as I said, the biggest impact was on deal velocity, we didn't lose these deals, but just in the process of generating the ability to quote, the ability to do just a very simple basics of getting stuff in the hands of customers and channel partners, we did a less than stellar job. So it's a - it was a completely self-inflected wound, but one that is relatively easy to address it just will take us time.
Will Power: So maybe just to help us on the channel side, where are you then in that progress? I guess, maybe that's part of the key to getting confidence and accelerating that growth rate. I mean are you now - you have the number of people you need and you have the full leadership team in place, where does that sit?
Vik Verma: Yes, no actually have brought onboard. I think it was well north of 23 people were brought onboard in channel over the course of about a quarter and half. And they have all the relevant relationship. The most interesting takeaway from our channel partners is that they love X. They think it is a game changer, but the biggest problem we've had is the level of information and tools that they've have to go to bring that to market has not been there. And then on top of that, the other part that became more and more clear is they told us the pent up demand is there, we've just not been there. So it is as simple as - and I think unfortunately business always comes on blocking and tackling and in this particular case it's not structural. It's literally is, we have a brand new product which is right for the market, the channel partners is the right selling motion for the mid-market, the channel partners are interested they like it. We just did not do a good job of creating the right business flow, the business processes as well as the training and enablement for our channel partners to bring that in front of our customers as quickly as possible. And it will take us as I said in the four to six months' timeframe to fix. But the team is in place, the leadership is in place and we made the relevant changes to make sure we drive that basic blocking and tackling execution.
Will Power: Okay, thank you.
Operator: Your next question comes from the line of Tim Horan of Oppenheimer. Please go ahead, your line is open.
Tim Horan: Great. Vik, could you just give me a little bit more detailed examples of what you mean sorry just a little confusing from the outside, where you're just not able to get quotes or if you did sales where you're just not able to provision those sales you just not have the right marketing material. Or are you having complex between your channel and your existing sales team? Thanks.
Vik Verma: Frankly a little bit of all of the above. The - so X as you know is an amalgamation of all our various products and it's much more packet solution. The selling motion is much simpler than the original way that we used to basically build up our product. And then, we brought on board a brand new channel team that has all the relevant relationships. And the way we integrated that channel team and enabled them on X was probably less than ideal. And the relevant collateral material, the sales portals updated so that the coding could happen in a much more high velocity manner. All of those things kind of played a part. So it fundamentally was a speed bump, not a directional change. We just needed to do better than we did. And again, it was not the rocket science. It literally was the basic blocking and tackling of business that we actually stubbed our tone.
Tim Horan: Got it. And why will it take another six months to kind of correct that and what's the like - what's the low hanging fruit in improving that and are you seeing any results yet?
Vik Verma: Actually, we are starting to see the results now. I mean, it won't - it will take six months or so to get everything humming the way it should, so that it's a fast moving engine. But the channel partners have pretty much made it very clear to us that they think X. And I think you guys do the same channel checks that we do. But I think you'll find the same prevalence. People like X, they think it's fit for purpose. It does exactly what they needed to do. They just want to know exactly how to quote it, how to train people on it, how to train their sales forces on it, how to train their masters and subs on it, and then make sure that 8x8 is easy to do business with. We have been not ideal to do business with, with just levels of complexity and confusion that we've had in the past. And those are things that should not have happened. They unfortunately did it takes - probably will take about four to six months to make sure it gets addressed across the board.
Tim Horan: Great. And then on the Artificial Intelligence side, are you - have you launched any product shed or when you think you might?
Vik Verma: Yes, there's a couple of upcoming announcements. I mean, and that is one of the interesting things about X that we have seen. People love the fact that in X you get one stop shop for voice, video as well as contact center. And then they like the fact that there is this underlying data that they can leverage to make decision support. We're seeing some very good logo wins and over the next few weeks you'll start to see increasing announcements on Artificial Intelligence. My initial focus though is as I said, the very, very simple things we launched a brand new product, which is completely packaged, it is fit for purpose. We need all our systems to make it easy for our channel partners to be trained on them, quote them and our sales team to sell it as a packaged solution as opposed to the way they used to sell our legacy products.
Tim Horan: Thank you.
Operator: Your next question comes from the line of Meta Marshall of Morgan Stanley. Please go ahead, tour line is open.
Meta Marshall: Great. Just a question on the DXI and constant currency drag. It seems to be expanding though DXI is shrinking and I understand that the pound was weaker kind of year-over-year. But can you just kind of levels that for us now, like how big is DXI? What that - how big the headwind was for DXI versus constant currency?
Vik Verma: Steven, do you want to take it or I can either way. So DXI used to be a couple of million per quarter in FY2018 it's under $1 million a quarter as of now. And so it's continuing to dip down. So it dropped from as I said, approximately $2 million a quarter as of FY2018 to well under $1 million by Q4 of FY19.
Meta Marshall: And then on - so just the rest of that as constant currency, because pound doesn't seem it's less than 10% different kind of than it was last year. So it just seems like a very big kind of discrepancy between the services headwind in the DXI - ex-DXI constant currency headwind. Just any level of the consequently drag?
Steven Gatoff: Hey, it's Stephen. No, it is a question math at this point candidly there's - there was more revenue at a much different valuation in the prior year and you have a much smaller amounts to Vik's point roughly half in the current period. So the prior year impact…
Meta Marshall: No, I haven't said the DXI piece, just the constant currency piece, I guess just seems to - like the pound doesn't seem that much different than it was a year ago?
Steven Gatoff: I mean the - we can go through and calculate it offline.
Meta Marshall: Yes, we can follow-up that through.
Steven Gatoff: Yes. The [indiscernible] is easily traceable to the numbers we just put out and happy to go through it.
Meta Marshall: Okay. And then just on kind of detecting things in November kind of December period. I mean X Series has been out since July. So I guess is it just that deals kind of take four to six months to work through, like I guess I'm surprised you wouldn't have picked up on it kind of when X Series was released and you started seeing initial sales. Just kind of what is the difference between timing of X Series coming out and then detecting that you don't have enough kind of materials for the channel and partners to sell it.
Vik Verma: I'll take that one. So we launched the X Series as you know initially for enterprise and the good news about enterprise is it's a high touch sale, you've got SEs, you've got very well trained AEs, et cetera and we had very, very good adoption. As we then migrated X Series to channel and mid-market that was where we started to find out that the level of training, material, et cetera was not as self-evident as it should have been. And so we started to see the deals come. It just took us longer to close them than we had anticipated. So just the deal velocity was what started to impact us so the deals started to progress, but they didn't close by the end of the quarter as we had anticipated.
Meta Marshall: And do you think those deals are - yes, I guess as a follow there like - go ahead.
Vik Verma: Yes, no, so I'll address in two ways. I think I know where you're heading with that one. So, one, so think of it this way, from an enterprise perspective look I saw the right win rate when I went into mid-market and to channel it was clear that it needed to be much more of a high velocity less touch sales model and all our materials all our tools et cetera were not designed to be as hands off as they should have been for a much higher velocity sales model. The deals are progressing and so we're feeling better about the quarter that's why you can kind of see our growth rate has been kind of despite all these execution challenges our growth rate has been trending up every quarter by between 50 to 75 basis points. And so, I don't view these deals as gone, I view these deals as just taking longer to close and that was not what was anticipated. Our model then closing much faster because X is everything's all bundled in, you don't have to go through a lot of machinations. And so from that perspective the whole purpose of X was that it makes it think of it almost like a price fix menu with everything necessary for the customer to do their job all bundled in versus having to go in and customize this that or the other. So it should have been much faster, it wasn't. And frankly it was an execution issue on our part.
Meta Marshall: Great. Thanks, guys.
Operator: Your next question comes from the line of Dmitry Netis of Stephens. Please go ahead, your line is open.
Unidentified Analyst: Hi guys, this is [indiscernible] on for Dmitry. With the recent changes in the sales and mid-market platform, how do you - do you expect to slow down the pace of adding channel partners in the coming quarters? And I have one follow-up.
Vik Verma: No, other way around. I mean to some extent our problem as I said has been we added channel partners, we didn't do a good job of enabling them on exactly how to sell X and we didn't provide them the tools and the portals to go sell that. And that transition from our regular products to essentially X, which required a lot more automation was not well handled. But it will not actually slow down the pace of adding channel partners we expect that to accelerate because now I have my channel team essentially in place. As I said we brought onboard I think 23, 24 people and of course the channel managers and over the course of about a quarter and half they have been gone through the training process, they've got all the relevant channel partners. We will keep accelerating the pace of recruiting and the whole idea of X was 8x8 had been very good at being able to provide a complete and perfect solution for enterprise. The whole idea of X was to package everything together so you dramatically increase the pace of the selling motion and I think that's where we did not do as good a job, but as we kind of continue that packaging, I think that pace of bringing channel partners on board accelerates.
Unidentified Analyst: Great. And then two quick ones. Sorry I missed this, but would you mind quantifying the win rate in the quarter versus competitors? And then with the installed base only moving up 5% quarter-over-quarter. How should we expect the timing of customers moving over and do you think there is an upscale opportunity there. Thanks.
Vik Verma: So both. So let's start with win rate head to head against our primary competitors is two out of three. And I like our chances if we're in a deal and it's a credible deal and we're in it we will win two out of three and that's something I monitor personally on a weekly basis. Our problem has been as I said making sure we have enough at best and the channel partners are telling us that there are enough at best. They just didn't have all the tools necessary to quote our stuff in an efficient manner. So that's item number one. And then with regard to the installed base we have not yet started the major migration process of our installed base. What we are doing is I think as we trend up, we're doing it very, very systematically over the course of next four to six quarters where the entire installed base will move to the X Series and probably from six quarters from now everybody will be on the X Series it's approximately 15% of our installed base. And X absolutely represents an upsell opportunity, because in essence you are able to have different gradations of capabilities. And as you can see more than 25% to 30% of the seats have additional capabilities than the core telephony, which was where 8x8 came from. So from that perspective, we see non-trivial upsell opportunities with X.
Operator: Your next question comes from the line of Josh Nichols of B. Riley. Please go ahead, your line is open.
Josh Nichols: Yes, thanks for taking my question. I did want to ask more on the OpEx side, I see that the non-GAAP pre-tax losses come up a couple of quarters in a row on the guide looking at the fiscal year. And just given the fact that you're looking about a two quarter lag to hitting your growth targets, should we expect that those are likely to continue to increase or I'm just trying to think of the trajectory for the company's OpEx over the coming quarters.
Steven Gatoff: Sure, it's Steven. So from a percentage of revenue our base as we see we talked about a modest uptick in Q4 mostly as a result of a little bit lower revenue than anticipated. Aggregate dollars will go up a bit like the two big investments that we're making as I talked about right are around channel and lead gen. So we're continuing to invest in that for the next short period quarters, but we expect to start driving leverage in that, meaning we expect that dollar basis to start increasing at a decreasing rate.
Josh Nichols: And I know and you've talked about it before, but I mean the 25% services revenue growth that was discussed as just kind of being like a little bit kind of as a way station right, but not a final destination. I would assume, if that's still the case I would assume you'd probably need to continue to invest to see any potential further acceleration of growth, is that a fair assumption? And is that still the company's longer term target?
Steven Gatoff: Yes and yes, but the important point is the leverage we expect to garner in the model meaning we will invest more aggregate dollars sequentially quarter-over-quarter, but at a lower marginal increase. And so, if you look at our bookings trajectory as well as the absolute level. And as we've talked about really targeting a 30% sustainable bookings growth rate, that will pretend with our model - with the SaaS model that you would expect revenue increase to really come up and hit that rate over the next call it several quarters till we hit that. But to your point importantly 25% is not the end result that's the milestone on the way and we're oriented around a 30% bookings growth that now on a SaaS model will drive that revenue growth overtime.
Josh Nichols: And then the company has had some good success historically in a couple of specific type verticals, whenever we you after these. But just regarding the X Series and some of the hiccups for the sales issues, was that more broad-based that you're seeing? Or were there any specific areas like retail or healthcare that were particularly weak or causing a little bit more of the drag or just trying to get a little bit better handle on that.
Vik Verma: Okay, I'll take that one. So it's kind of we almost got the reverse gushing [ph] curve, small businesses starting to tick up in the right direction and that's continuing to execute and X has been well received there. Enterprise continues to do well, and X has done well there. It's been the mid-market, which is the whole higher velocity sales motion where with the level of automation and self-service and other tools like that that we probably laid an egg on. And the idea there is it's not broad-based as in size or by vertical in terms of it really is got to do with the fact that where we leverage the channel, we did not do a good job of enabling our channel managers, our channel partners and our sales people to basically sale X toward the high velocity mid-market. And we've started to see that change. So it's more around the selling motion than anything else.
Josh Nichols: Thank you. That's it for me.
Operator: [Operator Instructions] Your next question comes from the line of Jonathan Kees of Summit Insights. Please go ahead, your line is open.
Jonathan Kees: Great. I'm going to take the different tact. And I guess commend you guys for taking ownership of this issue sales execution, throughout this earning season so far we're hearing a lot about companies blaming everything from China to the government shutdown. Now with that said though, if this is indeed mid-market execution issues here, what macro issues have you concerned? You haven't mentioned anything - you're not saying there's anything right now that's bothering you in terms of the market, the market trends are still strong. What's bothering you in terms of - or could be on horizon terms of macro headwinds? Now you are exposed to UK, so there's Brexit. And there's - you already have currency issues there too. So I guess talk to me in terms of what could be on the horizon there in terms of macros?
Vik Verma: Fair enough. But Jonathan that is actually pretty funny because in a somewhat gallows humorous kind of way because I was hoping to be able to blame China or government shutdown or something else. And unfortunately, when we looked in the mirror, it literally was we screwed up on the basic blocking and tackling of taking a brand new product, combining it with a brand new channel team, bringing it to our channel partners and making it simple and easy for them to sell. So unfortunately, that was the issue and there's nobody to blame, but ourselves. From a macro point of view, I'm not seeing any change. As a matter of fact, we're seeing that - I think the thing you have heard from me as a common refrain has always been, we need more of that. When we're in the deal, I win two out of three deals that continues to be the case. We're now finding out where those deals work and why we were not in it. And to a large degree there with channel partners in some instances, there are other areas that we have been able to identify sources of demand that I think as we get our act together and particularly with X and the ability to do high velocity selling with X we feel pretty damn bullish about it. But from a Brexit point of view, I don't anticipate any issues. I view that as just some noise, I think all the macro fundamentals are all fine, the market is fine, the demand is there, our product is fit for purpose. We just shot ourselves on the foot and the goal is to kind of own up to it, fix it, get better keep getting better.
Jonathan Kees: Okay. If I can squeeze in one more here. Can you - especially with any stock pullbacks here, can you update us in terms of your stock buyback program?
Steven Gatoff: Sure, we had total program authorize of $25 million and I believe we have not done anything in the past year on that and we have a capacity right now of approximately $7 million.
Jonathan Kees: Great, thanks. Good luck, guys.
Vik Verma: And I'll add one more, Jonathan. As you know, from time-to-time, I've been a net buyer of our stock over the years and I have not sold a single share, it is not my intent to do that anymore. And at the appropriate time and subject to the right open window I will continue to be a buyer in this.
Jonathan Kees: Actually people are noticing that, Vik, and I noticed that too. That's good.
Operator: Your next question comes from line of Nikolay Beliov of Bank of America Merrill Lynch. Please go ahead, your line is open.
Unidentified Analyst: Hi. This is actually Jacqueline Chong [ph] on for Nikolay. I have a couple questions regarding the X Series. Are you seeing a change in win rate with the X Series? And how disruptive is the process of upgrading your installed base to the X Series?
Vik Verma: So two things, we have seen our win rate with the X Series go from one out of three to two out of three against major competitors. So that is telling me X is exactly fit for purpose. I don't anticipate the transition of our installed base to be disrupted at all with the X Series. Because the idea is, we will give them additional capabilities than what they have today for comparable prices. And so the goal is to just make it completely seamless and do it over four to six quarter, so there's no impact. But X is exactly what we have worked over the last four years to get. And as I said, the way we rolled out X, and I think Nita had asked this question early on, we did it in a very systematic manner. We rolled it out initially with enterprise, everything was positive, but that was a high touch environment with enterprise and then where we discovered where we had some weaknesses in our sales enablement, selling motion, training, et cetera, et cetera was when we got to mid-market and channel. But that's what we are addressing right now. And frankly, it's not been an issue with small business, small business is starting to evolve to X relatively easily, because it's relatively simple. So it's the more mid-market and channel that we need to address the selling motion, the tools and everything that we can do to actually increase the velocity of sales. But from a win rate perspective that is - the whole purpose of going to X is to dramatically change our win rate, which is what we're seeing.
Unidentified Analyst: Got it. If I can squeeze in a quick one. Are there any new features in the X Series that customers like the most and what are they?
Vik Verma: So I mean frankly the biggest thing is the ability to have everything all integrated together, particularly the contact center. The fact that you have a contact - and you'll start to see us make a bigger and bigger push in contact center. Because what's becoming pretty evident is we essentially as part of X have a complete and fully formed contact center that is competitive with all the leaders in the contact center space today except we bundle in telephony and presence and that should give us significant advantage. In addition to that we have a lot of data analytics, reporting and now with Jitsi, we will be introducing video conferencing. This is a team we brought from Atlassian, we'll be introducing video conferencing tightly integrated into X Series and the - it will be unveiled at Enterprise Connect end of March and it'll be generally available by end of June, July, August timeframe. And I think that again the ability to have state of the art telephony and combined with state of the art contact center combined with state of the art video conferencing with the underlying data and analytics is essentially in four bundles or so is the whole brilliance of X. We just have to do a good job of getting that out to market, getting that in the hands of our channel partner enabling them. And I think we're off to the races.
Unidentified Analyst: Okay, thank you.
Operator: Your next question comes from line of Rich Valera of Needham and Company. Please go ahead, your line is open.
Rich Valera: Thank you. Vik, when we had talked about what was going to enable you to see the kind of quarterly acceleration into the fourth quarter to hit that 25% bogey you'd said that you had a lot of seats sort of in backlog from prior orders that already been closed and that the ease of deployment of the X Series was going to enable you to do some sort of rapid deployment of already one business. So is that still true? And given that dynamic it's just sort of surprising to see things slip out two quarters on some soft bookings. So I just wondered if you could comment on that. Thanks.
Vik Verma: Yes, no still true. And as a matter of fact look, the bookings are less than happiness. I mean we had a 50% bookings for mid-market enterprise Q2 and obviously 13% this quarter is a major disappointment. Despite that you're seeing a sequential increase continuing of approximately 50 to 75 basis points. That is because of the faster pace of deployment and the ease of X. The whole purpose of X was the ability to deploy to mid-market very quickly so you can even start to collect revenue in quarter that slipped out a little bit because of lighter than expected bookings, but I think it's a temporary blip and will come out on the other side. And again it's a self-inflicted boom, which is what I'm really annoyed about. But in the end I think it's one of those things where you fix it you get better and you move on.
Rich Valera: Okay. Thanks for that, Vik.
Operator: Your next question comes from the line of George Sutton of Craig-Hallum. Please go ahead, your line is open.
George Sutton: Hi. Sorry to belabor the call, but you mentioned, Vik, that the leading indicators had told you there were some issues. I'm just curious if you could be a little more granular about what those leading issues were? And you mentioned that the early indications are that the changes you've made have improved things. I'm curious if you can give us the leading indicators you're seeing from that angle.
Vik Verma: Yes. No, I think it was just a deal progression. We monitor deal progression going from different stages and we saw deals fit in like the coding stage and there was a lot of back and forth on coding and questions that we thought would have been self-evident questions about features that should have been obvious that kept going back and forth and necessitated multiple meetings. And that's when we started to - our antenna start to go up and say we have not done a good job of enabling our channel team as well as our various sales executives. And so, that was where we started to see around late - probably late November and mid-December that the deals were taking us longer and there was a lot of back and forth and questions what should have been very obvious, very basis stuff. So that was the number one issue. The second one and look, this is always embarrassing to some extent, we did a listening tour with all our channel partners. And the great thing about our channel partners, we got some phenomenal channel partners, and they were very honest with us, they said excess fit for purpose they just didn't have all the tools necessary to sell it, they thought our team - our own team was not totally aware of all the capabilities of our product. And that our tools were harder to do business with and the velocity was missing. That's hard to hear, but I'd rather hear it. And we started to hear that late December early January timeframe. And so, we're going to address it head on. We've brought the right folks in. We kind of made some process and org changes. And we'll go address it because in essence the channel partners made it clear they said, if you'd made it easy for us we would have been able to get you dramatically more business than what we were able to get you. And so you go well self-inflicted wound, but the good news is you can address those.
George Sutton: Just as a quick follow up to that. Are any of those channel partners looking at other potential vendors as a result of these issues?
Vik Verma: Other way around. They are actually viewing X as the answer to a lot of the turmoil that is happening in the market. I think you sent me a note some time ago about how we picked the right vision three four years ago that everything is going to converge towards basically contact center, videoconferencing, as well as telepathy as part of one platform. Gartner as you know has just most recently gotten rid of their UC category and now is only UCaaS and CCaaS, which means cloud is mainstream. And two, in order to be part of that, you have to have a full stack of UCaaS and CCaaS solutions bundled together. So channel partners are viewing us as the safe bet because they're going, with all the turmoil happening and shifting alliances you're one of the few guys that we know own your own technology and basically are here to stay. And so they were disappointed in our ability to give them all the information necessary to quote, but therefore I think we were not in deals that we should have been in. And candidly once we're in those deal I like our chances.
George Sutton: Got you. Thank you.
Operator: Your next question comes from the line of Matt VanVliet of Stifel. Please go ahead, your line is open.
Matt VanVliet: Yes. Thanks for taking my question. I guess, looking at some of the channel conflict issues that I think you sort of briefly touched on, but was curious what changes or organizational shifts have you made around especially the mid-market to enable that, but also understand that your existing sales force has their jobs to do?
Vik Verma: Very simple, basically combining the direct sales team and the channel team with essentially common quotas, common goals, common and a very tight leadership rhythm at the top. And so it's compensation drives behavior and then on top of that creating essentially processes by which channel partners or channel managers as well as our sales executive visit channel together in a very, very tightly integrated do deals reviews together, et cetera. Again, as I said the part that is annoying about this, this is very basic blocking and tackling. And so we should not have stubbed our toe, but the reality is we did. So the goal is to address it head on. And as I said we made a few changes at different levels of the organization and as well as processes and we are starting to see the benefits of that. I like the team we have, we have got some amazing folks and they were honest about telling us where we were not doing a good job as an organization. And I'm very grateful to our channel partners for being completely blunt with us about the opportunity we had and the way we kind of stubbed our toe and what we needed to do to get better. And we'll address it.
Matt VanVliet: And then you obviously added quite a few partners to the community this quarter and even last quarter. I'm just curious, if you could give us a little bit more of a geographic mix or targeted customer size mix of the type of partners that you've added recently versus maybe what the system had in it before?
Vik Verma: Increasingly our focus is on channel partners that can bring us mid-market deals, which is anywhere from 250 seats all the way up to 2,000-3,000 seats. We have done a great job on the really large deals and we keep winning those large deals because our product is ultimately configurable, which means we win the very, very large enterprise deals, but those are high touch. The goal was we need to get that engine for mid-market which is the 250 to 2,000 seats really accelerating with a relatively lower touch model and as much automation self-service, et cetera. And that's the area and we have targeted channel partners who can bring or who have that kind of customer base and the goal is to enable them so that they can all be successful.
Matt VanVliet: All right, great. Thank you.
Operator: Your next question comes from the line of Mike Latimore of Northland Capital Markets. Please go ahead, your line is open.
Mike Latimore: Great. Thanks a lot. In terms of the migration of the base, is there any notable sort of incremental costs that would go with that?
Vik Verma: Relatively de minimis, I mean, the whole idea is to automate it as much as possible. And that's why we've been very systematic about it. The goal is that every existing customer will get more than what they have at a price that is comparable to what they pay today. And then the ability for them to have a lot more self-service automation, et cetera, will be a huge enhancement on top of that, but we don't anticipate any major cost. X was designed, so that it would be able to be migrated to our entire installed base. The goal is to do it systematically, and stretch it out over four to six quarters.
Mike Latimore: All right, got it guys. And then in terms of just the larger deals that you've won in the past few quarters, are the deployments of those generally on track is that what you said?
Vik Verma: Yes, the deployments are going - look we've got because of the newer platform, deployments are faster across the board, every element of the company has gotten better, right. So if you think about it despite what I consider very light bookings for Q3, the company is continuing to sequentially increase growth rate by between 50 and 75 basis points every quarter. And that's primarily because of execution. And - but ultimately to me, I want to start seeing the bookings grow sustainably because then you're off to the races because now you can deploy much faster. And if you can see sustainable growth in bookings, particularly in the mid-market then as I said, you get that extra one to two percentage points increases in growth rate by quarter, which is what I was targeting as opposed to the 50 to 75 basis points, which I'm settling for right now.
Mike Latimore: And are you assuming that sort of implied in that kind of revenue growth rate improvement that you get back to the 30% bookings growth relatively soon here?
Vik Verma: In the not too distant future in terms of bookings, yes. I mean, the intent is again, I'm buying myself four to six months to make sure that the stubbing of toe that I did kind of gets addressed systemically so that it's sustainable. And we don't just have a one shot, one quarter it's great. And that's unfortunately been us right. We have a great quarter, followed by so-so quarter, followed by great quarter, followed by so-so quarter. And so the goal is how do you sustainably keep increasing bookings quarter-over-quarter so that the engine is cooking and that's the whole purpose behind X Series and that's the whole purpose behind the selling motion that we're trying to create. And that's the target that we're getting towards, which is the 30% sustainable bookings growth.
Mike Latimore: Okay, thanks.
Operator: Your next question comes from line of Zack [indiscernible] of Dougherty. Please go ahead, your line is open.
Unidentified Analyst: Hey, guys. Zack, on for Catherine Trebnick. Just two quick questions. First, if you could build into your international presence a little more specifically your penetration in APAC? And secondly, what's your roadmap or current progress with selling X Series internationally?
Vik Verma: X is available and the intent is to make X available everywhere. It's already available in the UK and I think in the not too distant future it will be available in both ANZ basically Australia, New Zealand in Q1 timeframe as well as Asia Pacific. But it is currently available U.S. as well as UK as well as Continental Europe and then ANZ by end of Q1. And so, X will be the only product that we will sell and everything will basically get subsumed under X. And then, as I said over the next four to six quarters, we will get our entire install base shifted over to X. And so that's essentially what we're targeting.
Steven Gatoff: And from a financial standpoint, we've talked about international being roughly just north of 10% of our revenue, it's probably 2x that and so far is our new bookings. And so we're seeing nice growth overseas. And so, we would expect that to continue to edge up as that becomes a larger and larger portion of the base overtime.
Unidentified Analyst: Got it, thanks.
Operator: There are no further questions at this time. I'd like to turn the call over to Vik Verma for closing remarks.
Vik Verma: So thank you folks for attending our Q3 FY19 earnings call. I think both Steve and I will be on the road over the next few weeks to months so that we have an opportunity to interface with several of you. We look forward to your continued support and look forward to answering any questions that you may have. And we will have some significant announcements and a big presence at Enterprise Connect, which is around the March timeframe in Orlando. And I think you guys will have an opportunity to see X Series in all its glory and get a sense of why we're so excited about it. Thank you, again.
Operator: This concludes today's conference call. You may now disconnect.